Unknown Executive: Good morning, ladies and gentlemen, and please be welcome to the results presentation of Enagás corresponding to the third quarter 2015. The results are published this morning before the markets opened, and they're available on our website.
 Mr. Antonio Llardén, President of Enagás, will chair this meeting. And we expect duration of about 20 minutes for this conference, and next we'll open a Q&A session which we'll try to answer as fully as possible.
 Thank you for your attention, and now -- we'll now hand the floor to Mr. Llardén. 
Antonio Llardén Carratalá: Good morning, ladies and gentlemen, and thank you for your attention. The whole management team of Enagás is here to answer this conference call.
 And first of all, I'd like to say that the results that we present today correspond to the first 9 months of 2015 that allow us to confirm that we will once again meet our commitments for the entire year. Furthermore, from this quarter onwards, the results we present -- will present are fully comparable with those for the same period of the previous year since both sets now reflect the impact of the regulatory reform enacted in July 2014. Therefore, now for the first time, we are comparing periods in which we have the regulatory reform enacted in both cases. And more result -- relevant figures, as you will see in the presentation accompanying this conference call, are the following.
 Net profit grew by 1.5% year-on-year regarding the first 9 months of the year 2014, reaching up to EUR 313 million. This increase was mainly due to 3 factors: first, the greater contribution of the company's international assets, both the Peru gas transport company, TgP, and [indiscernible] contribution for another quarter but also because we have increased our stake in the company by 4.34%. Also, we have the positive contribution of the COGA, the Amazonian gas operating company; and finally, the positive contribution of the Morelos gas pipeline in Mexico.
 Second, profit was boosted by 2 aspects: first, the impact of the change in the tax rate; and second, both [ph] dollar's rise against the euro; and thirdly, due to an improvement in the financial result mainly caused by a reduction in the cost of debt, which also helps us to improve profit.
 Regarding operating expenses, the like-for-like growth was just we have explained in previous results presentations this year to the company's organic growth linked with international activity. This greater activity also generates more revenues, so our efficiency ratios remain unchanged. Another interesting aspect is, in these first 9 months, Enagás has invested a total of EUR 410 million, which means we have virtually hit our annual investment target already.
 As a company, we have very clear objectives which sustain the promised dividends and maintaining our ratings. However, achieving a certain investment figure is not an objective in itself. Let me explain. We only invest if projects fulfill the 5 criteria established in our strategic plan regarding risks, returns, corporate governance, selection of partners with complementary skills and also that the assets are core business assets. The investments that are in line with these 5 criteria that we have made this year so far are the following. Let's number them. The acquisition of an additional 10% of Bahia de Bizkaia Gas, BBG, the regasification plant, bringing our total stake to 50%; second, the acquisition of 30% of Saggas, which is the regasification plant of Sagunto; thirdly, the purchase of 50% of Swedegas, a Transmission System Operator and the operator of the Swedish gas transmission network; fourth, the international investment underway in the European in the big -- 2 big greenfield projects we have, the European Trans Adriatic Pipeline, TAP, and in the South Peru Gas Pipeline, GSP. And the fifth element, first yield this quarter, is the acquisition of an additional 4.34% of the Peruvian company TgP, which brings our total stake to 24.34% in this company.
 Regarding the financial situation, this remains one of our main strengths. The net financial debt as of September 30 amounted to EUR 4 billion, in fact, EUR 4.052 billion. The average cost of debt at the end of third quarter of 2015 was 2.10% (sic) [2.8%] compared with 3.1% at the end of the September 2014. Enagás' liquidity at the end of third quarter stood at EUR 2.212 billion, and this has enabled us to maintain high solvency levels whilst continuing to roll out our investment plan.
 And last, Enagás has diversified funding sources. 58% of debt is in the capital markets. 38% is financed with loans in very good conditions from the European Investment Bank and the Spanish Official Credit Institute. And finally, with the commercial banks, we just have a 4%. On the other hand and from a different perspective, over 80% of Enagás' debt is fixed rate with an average maturity of 6.8 years, which means that if we add to that, we have eased estimated [ph] costs for 2015 in our management of [ph] maturity profiles. The conclusion, as I mentioned at the beginning, is that we have a solid financial position, which is one of the pillars of the company. In this regard, our investors, with whom we are in regular contact, have expressed their appreciation of the fact that Enagás has no major maturities until virtually the year 2022. And this allows us to shield ourselves from the current market volatility.
 So far this year, Enagás has made further inroads in the international area. It enables us to increase both earnings and dividends. In the last conference call, with the conclusion of the latest transactions, I mentioned that we estimate that, in 2017, the contribution of all affiliates and acquisitions to dividends will amount to EUR 85 million, which is a much higher figure than we had estimated initially that was around EUR 60 million. We should highlight in this regard there's no exposure to potential local currency depreciations because all our affiliates in Latin America are dollarized so all investments, revenues and dividends are done in American dollars. The expected dividend from our affiliates is highly visible, on the other hand, since our assets are either regulated or protected by long-term ship-or-pay contracts in the long term.
 Last, we had an -- a recent financial transaction this quarter. There's an increase in the initial return on one of our international assets. I'm talking about Swedegas in Sweden. On July 24 this year, we refinanced with a debt without recourse to shareholders the bridge loan secured for the acquisition of the Swedish operator. This new SEK 3.8 billion loan has a 7-year maturity, and its external financial cost is far lower than that borne by Swedegas before it was acquired by Enagás and Fluxys.
 Regarding our dividend, as you may know, we have undertaken to pay EUR 1.32 per share against 2015 net profit, maintaining a 5% growth over the 2 coming years at least, in line with the best in class of European peers. Our peers are similar to our company.
 Last, regarding our ratings. I am delighted to draw your attention to the excellent news that we received and announced last week. For the second time this year, the agency Standard & Poor's upgraded Enagás' rating, which rose from BBB to A- with a stabilized outlook. That means that we currently boast 2 of the best credit ratings amongst our peers: A- from Fitch and A- with Standard & Poor's. The strength of Enagás' rating is one of the cornerstones of our strategy, and with this A- rating from Standard & Poor's, Enagás has surpassed the target setting in our 2015, 2017 strategic update. Let's remember that, for the rest of the year or the whole year, the other objective set, I mentioned earlier, are as follows: to give out a dividend of EUR 1.32 per share to achieve a growth in net profit of 0.5%, with investment of around EUR 430 million.
 Let's briefly mention the situation in gas demand because, in the first 9 months of the year, natural gas demand has grown by 5% compared with the same period in 2014. This increase was largely due to an increase in conventional demand as a result of colder temperatures than last years and also to new [ph] behavior of the industry that consumes natural gas. On the other hand, the increase in demand for gas for electricity generation was 21% higher than last year, mainly due to a declining hydroelectricity generation. We actually had a dryer year than last year. And this is very welcome news, as it's the largest growth in demand for natural gas since the onset of the financial crisis in 2008. And since we transport natural gas as our main business, it's the first time that, in these long 7 years of crises, recession and financial complexity in the whole world, we see the total national Spanish demand is higher for the first time, that exists [ph] than the one in 2008. And just the one in 2008, it's the first time we had a positive growth. Our total demand kept decreasing, and this is the first year that demand bounces back and becomes more positive than last year. This 5% growth is in line with our year-end messages, which envisaged, depending on winter temperatures, an increase in demand of between 4% and 6%. And it also means that we can state that 2015 will be the first year with positive growth in the massive demand since 2008 and the beginning of the crisis. And the gas sector regulatory framework approved in 2014 and expected to remain stable until 2020 is helping to eliminate very clearly the mismatches between cost and income in the system. We estimate that the gas system will be completely balanced in 2020 at the latest. This great improvement will start to show in 2015, and we expect the system to post a surplus for the first time in the last 7 years.
 And in short, as a conclusion, our results for the first 9 months confirm Enagás' good progress; and repeat that we remain on the right track to attain and, in some cases, exceed our goals for 2015. And furthermore, they underline the company's flexibility, solidity and ability to adapt in times of high financial volatility, political and economic turmoil in the whole world. And we think that it gives us credibility and strength to keep our growth commitment to grow and create value for our investors and shareholders.
 Thank you for your attention. If you have any questions, please feel free to ask them now. And as ever, we will endeavor to answer them altogether as fully as we can. Thank you very much indeed. 
Operator: [Operator Instructions] First question, by Javier Suarez, Mediobanca. 
Javier Suarez Hernandez: Javier Suarez from Mediobanca. Three questions. First, in the presentation, Page 10, you mentioned that dividend you expect of the participated for 2017 are EUR 85 million, and this is bigger than the indicators you gave, or you expected EUR 50 million. Why is this a higher dividend for 2017? Could you explain why the contribution of dividends of these companies will be higher? Second question related to the growth strategy internationally. We have seen, of course, after the summer, the strong deterioration in the perception of risk in the emerging markets in general. And your activities have dollarized, but has this had any impact in your perception of risk or capital cost when you take a look at new projects in emerging markets? How has your thinking line changed due to the general situation of the high or the increase of capital cost? And thirdly, Slide #11, you speak about the funding of Swedegas. Could you give us the exact details of how has the Swedegas debt reduced? And how is it going to impact in the figures of the company? 
Unknown Executive: Thank you very much, Mr. Javier Suarez. The first question, yes, hopping from 60 [ph] to 85, it's mainly due to these new acquisitions we have done during this year, the increase of our stake at BBG, in Saggas; the increase of our stake at TgP; and the purchase of Swedegas, without entering into details that I don't have before me, but this is what explains that we do have a forecast of dividends that is higher. The second question, regarding the possible deceleration of emerging countries, how has that influenced. Have we felt anything? First of all, the projects that we do already have run or that we are studying are fully out of the short-term economic cycle. They are long-term projects always. There will be some collaterals or payouts or off-takers that normally work very far away the day-to-day line of the economy. So for this -- from this standpoint, we haven't seen any major problem, neither in the financing. These are always, as I was saying, long-term projects, but I would tell you that we have felt 2 things: a strong element from projects [ph] of those projects that are long term. For example, new regas plants in some places in the world are projects that are -- haven't slowing down and we will not carry them out immediately. And then also, we have, let's say, activated our risk radar. Our radar is on. We're not and we will not enter into any project that, though it might be interesting, we could think that it has a higher risk than the one we have studied. So as a summary, in general, our international activity is as were expected. It's far away from the short economic cycle, the short term and the short-term financing. So of course -- our technicians that study these projects, of course, do take this in mind and really give a lot of thought to all the possible risks that may exist in any new project. Should we have risk, they wouldn't even study these projects. Lastly and using your question, I shall stress what I said before. Contrary to the dividend payout with a specific amount and with the rating remain and with -- at very conservative debt levels, we do not have any commitment of having to reach at the end of a certain year, of a certain period to reach an investment figure. We do not have that commitment. We do study projects. If they meet the set conditions, we enter. If they don't meet these conditions, of course, we won't enter into those projects. Lastly, just a small detail on the Swedegas loan, I will give the floor to the CFO, Borja García-Alarcón, who will give more detail. 
Francisco Altamirano: Good morning. This operation was closed in a group club deal with 3 banks. The leverage ratio is at 70%. This allows us [indiscernible] our shareholders, and that confirms that our profitably objectives of the operations that were set as such at the beginning. Funding cost of this loan is 2.7%, and it's below the funding cost the company had, the financing cost we enter at Enagás and Fluxys, which was around 5%. 
Operator: Next question, by Fernando Lafuente, N+1 Equities. 
Fernando Lafuente: I have 2 questions, 1 regarding the dividend of -- for 2017. Could you give us a breakdown of those EUR 85 million between what comes in euros and how much comes in dollars to be able to do those estimates of the 1.35 that you've got here? And the second question is with regards the OpEx. Could you give us more details on the OpEx evolution and EBITDA do you expect for the end of the year? 
Unknown Executive: With regards to the dividends, we have seen the figures. 83% of these dividends, more or less, come in dollars; 11% in Swedish crowns; 6% euros. As far as the OpEx question, I will give the floor to the CFO, who will give you more details. 
Francisco Altamirano: Fernando, EBITDA Q3 has 2 impacts you all know. It does not include the additional attribution of the technical managerial systems in revenues and EUR 7 million of other operating expenses corresponding to different certification. What will happen in the Q4? We expect to confirm that the GTS revenues will get to the company. And with regards to OpEx, the figures we've got in mind is starting from EUR 284 million we had in 2014. We should add to that amount the accrued expense of EUR 17 million for Castor, EUR 17 million Al Andalus and EUR 7 million of staff in either the president estate; and the last, other increases with stock. So OpEx will be around EUR 321 million, in line with the expected figure. So the EBITDA figure will be in the EUR 929 million, EUR 940 million range, depending on the closure of the financing of the operator issue [ph]. So we must have that succeed, but we are authorized at the level of profit after tax. Thank you. More questions? 
Operator: Next question, by Carolina Dores, Morgan Stanley. 
Carolina Dores: First, we're -- sometime ago, you were expecting for the regulator to approve higher revenues for the TSO follow-up. Could you update on that, please? 
Unknown Executive: Yes, we are just waiting for the regulator. As indicated, by the end of the year, we'll review the revenues of the GTS or the system technical manager. 3 weeks ago, Marcelino Oreja and myself had a working meeting with the Secretary of State for Energy over reviewing different elements. And according to the subject, they told us that they thought there was no major problem after having received the report of the CNMC, et cetera, et cetera. So we do believe that, by the end of the year, one of the ministerial decrees that solved the -- issued by the ministry will include this. That might be a higher revenue to the one we have, around EUR 10 million, EUR 12 million, EUR 13 million. We do understand that, within the economic exercise 2015, we can count on it. Thank you very much. More questions? No line with -- no more questions in Spanish. Let's move on now, pass on to the questions in English. 
Operator: The first question comes from Mawal Mattman [ph] from Berenberg. 
Mehul Mahatma: It's Mehul Mahatma from Berenberg. I have 2 questions. Your profits from your equity investments are now nearly about 9% of net income. Do you expect this to be the case at year-end? Or do you see this as being more, or less? And second question is on the cost of debt. This is now at 2.8%. Do you expect this cost of debt percentage to be the same during the entirety of the strategy plan, or do you expect it to be lower? 
Unknown Executive: Thank you. Mr. Mahatma, the second question, 2.8% is an improvement of our initial objective, and we are going to try for the coming years to keep that cost. A great part of our debt is in the fixed cost, so that allows us -- sorry. That allows us to have a clear idea of cost. And of course, we have proven in the past and several occasions that we are really taking good care on about how market changes to improve that. So -- and first of all, as your -- our answer will be positive. On the first point, the CFO, Borja, is telling me that he's got the answer for you. 
Francisco Altamirano: Page 5 of the presentation, and you -- we see that the contribution of the brownfield is EUR 38.4 million, the impact of the PPAs amortization EUR 14.9 million and the greenfield EUR 3.9 million. For the whole of the year, the brownfield contribution will -- can be extrapolated to the last quarter. And we will repeat the contribution of the previous 3 quarters, and the same for PPA, but at the level of greenfield, the contribution will be more negative. That has to do to the projects advancing in the greenfield side. Thinking about these coming years, the contribution -- the extrapolation of brownfields we've got until now will be exactly the same one, except for in the case of TgP, as you all know. In 2016, we expect this put into operation, of that greenfield, including this asset. The purchase price allocation will be around EUR 20 million related to these investments until now. And we are going to see how the greenfield contribution will be more negative as the activity in the top 3 [ph] develop and at the top 2 [ph]. Thank you very much. More questions? 
Operator: There are no more questions. Thank you. 
Unknown Executive: Thank you very much. If there are no more questions, we shall finish this conference call. Thank you, everybody.